Operator: Good afternoon. Thank you for joining us today to discuss the results for LifeMD's Third Quarter Ended September 30, 2021. Joining the call today are Justin Schreiber, Chairman and Chief Executive Officer; and Marc Benathen, Chief Financial Officer of LifeMD. Following managements prepared remarks we will open the call for our question-and-answer session. I'd like to remind everyone that, today's call is being hosted via webcast and the recording will be made available via the link in today's press release, which is available in the Investor Relations section of the Company's website. Before we begin, I would like to remind everyone that, during this call, the Company will make a number of forward-looking statements, which are subject to numerous risks and uncertainties that may cost the Company's actual results to differ materially from those projected. These risks and uncertainties are described in the Company's 10-K and 10-Q filings and within other filings that LifeMD they make with the SEC from time-to-time. Forward-looking statements made during this call are based on current information available to the Company as of today November 10, 2021. The Company assumes no obligation to update or revise any forward-looking statements after today's call, except as required by law. Also, please note that, management will be discussing certain non-GAAP financial measures that the Company believes are important to evaluating LifeMD's performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliations thereof can be found in the press release issued earlier today. Finally, I would like to remind everyone that today's call is being recorded and will be available for replay in the Investor Relations section of the Company's website. Now, I'd like to turn the call over to LifeMD CEO, Justin Schreiber. Please go ahead.
Justin Schreiber: Thank you, Simon, and good afternoon, everyone. Thank you for joining us today and discuss our third quarter 2021 results. I want to start this call by giving a huge congratulation to the LifeMD team for launching earlier this week, the LifeMD virtual care platform. I believe this launch is a transformational turning point for the Company, for our patients and for our shareholders. Furthermore, I believe that the business model supporting our primary care platform will help to change and disrupt the U.S. healthcare system and will serve as a model for how exceptional healthcare can be delivered in a virtual environment that is affordable, convenient and most importantly results in better outcomes for patients. For those of you who haven't seen our platform yet, I would encourage you to visit our new website we just launched at lifemd.com Aside from virtual primary care and telehealth, there are two big and important takeaways, I think are important for everyone on this call to understand. First, our new platform will enable us to develop deeper, broader and longer-term relationships with our current patient population and have a bigger impact on their overall health and wellbeing. As most of you know, we have an extensive and expanding business, treating specific conditions like erectile dysfunction, hair loss and dermatological issues. We are very proud of these businesses. They are standalone unit economics and their growth trajectory. They're likely going to be around for an extremely long-time. Nevertheless, I believe the incorporation of our virtual primary care platform will create a tectonic change in our business that will dramatically improve the level of satisfaction and the overall experience of all of these patients. It goes without saying, but I'll say it, happier patients who are invested in a long-term relationship with an outstanding doctor provided by LifeMD are going to be very loyal and will help to generate unit economics and overall profit levels that are best-in-class in the industry. On a side note, as I spent time over the past several months with our founding team of primary care physicians, I realized that, our doctors with their expertise and compassion and the relationships they're going to build with patients. These doctors are without a doubt, one of our strongest assets or intellectual property that any company can own. I believe this intellectual property and the deeper relationships we will begin to foster with our patients will be transformative, not only for our new LifeMD primary care offering, but all of our existing brands. Americans crave access to great doctors and LifeMD is going to be the Company that meets this need. The second important takeaway is that, our new virtual care platform dramatically expands the scope of our business and the clinical areas in which we can offer a telehealth products and services. From urgent medical issues like sinus infections, cold and flu, UTIs and STDs to chronic conditions like diabetes, weight management, asthma, allergies, anxiety, LifeMD now is a platform supported by licensed providers, who can treat a wide range of conditions. And perhaps most importantly, we don't just offer telehealth services. In addition to same-day guaranteed virtual treatment, we offer discounted prescriptions conveniently delivered to the patient's home and discounted diagnostics that can be collected in the patient's home in most major Metro areas. As most of you also know, we have a great relationship with Quest Diagnostics that patients can conveniently visit throughout the country. Additionally, we're working on incorporating other in home tools and continuous monitoring devices like wearables that will truly revolutionize the relationships our patients have with their doctors. As you can probably tell, I'm very excited about this platform and what it can do for our patients. Launching it was the vision we always have for LifeMD, and I'm extremely excited to watch a proven team of clinicians, technologists, and marketing gurus grow this into a substantial business. All this has been made possible by the accomplishments we achieved this quarter. We continue to see strong order growth with telehealth products and services up 153%, driven by both strong acquisition and more significantly by strong retention of our existing patients. Currently, 93% of our revenue comes from recurring subscriptions. I think this demonstrates the high level of satisfaction our patients have with the tele-health services and the products that we provide. Thanks to the closing of our capital raise with net proceeds of $55 million LifeMD is now in the strongest capital position it's ever been since our founding. Not only was this offering oversubscribed, but we believe that the funds rates from it have sufficiently capitalized our business to reach profitability while continuing our aggressive growth strategy. Marc and I view it as permanent capital for the Company. In an earlier call. I mentioned our commitment to preserving and growing shareholder value. I believe this recent raise reflects those commitments, we looked for a minimally dilutive transaction to finance the Company, and that's exactly what we achieved. The raise allowed us to eliminate all of our debts, which was approximately $15 million by paying off the debt prior to maturity we avoided a million shares of additional dilution. We sold 3.8 million shares in the common offering alongside our non-dilutive preferred offering. So, total dilution to shareholders to permanently capitalize the Company was around 2.8 million shares or approximately 8% of the Company on a fully diluted basis for $55 million, more than enough capital to propel us through the next stage of growth. Also, during the quarter, we made a key appointment to our Board, adding Naveen Bhatia. Naveen is a highly accomplished investor and private equity professional who has an extensive career in the investing world most notably with 10 years of experience, as a senior member of Blackstone's tactical opportunities team and extensive board experience. Thrilled to have him on board as he provides helpful guidance heading into what is sure to be our most exciting year yet as a company and as a provider of exceptional health care through telehealth. With that, I will now turn the call over to our CFO, Marc Benathen, who'll provide a summary of this quarter's financial results. Marc.
Marc Benathen: Thank you, Justin, and good afternoon, everyone. We're extremely proud of our third quarter performance. Not only did we achieve record revenue, but we began to successfully achieve operating and marketing expense leverage ahead of our expectations resulting in a 24% sequential improvement and adjusted EBITDA versus the prior quarter. We also successfully closed the largest financing in company history raising 55 million of net proceeds led by a preferred stock offering supplemented by an institutionally led common stock offering. Following this financing, we believe LifeMD is sufficiently capitalized to support both our investment and aggressive growth objectives and attaining adjusted EBITDA profitability. This financing also allowed us to eliminate our previously existing senior secured debt, with a permanent source of flexible capital that minimized dilution to common shareholders. Now turning to results for the third quarter. Revenue in the third quarter of 2021 totaled a record 24.9 million, up 127% as compared to the same quarter a year ago. 93% of the total revenues in the third quarter were generated from recurring subscriptions compared to 61% in the same year ago period. Telehealth net revenues grew over 97% to $18.5 million and 17% sequentially versus the prior quarter. Our WorkSimpli subsidiary contributed net revenue of $6.4 million, up 309% from the year ago quarter with sequential revenue essentially flat. WorkSimpli revenue was temporarily impacted by approximately $700,000 related to the one-time test of new trial offers, which WorkSimpli has since continued. Following this, WorkSimpli is back on-track with sequential revenue growth in the fourth quarter. Telehealth order volume grew 153% versus a year ago period to 232,293 orders. Following our continued robust performance, we are reiterating our full year 2021 revenue guidance of $90 million to 100 million, reflecting annual growth in 2021 of between 141% and 168% versus prior year. Gross profit in the second quarter increased 113% and $19.9 million compared to $9.3 million in the same year ago quarter. Gross profit as a percentage of revenue in the third quarter of 2021 was 80% compared to 85% in the same year ago with the decrease primarily due to a change in the product sales mix coupled with the one-time non-cash write-off of legacy products deposits. Our platform contribution and a non-GAAP financial measures defined as GAAP operating loss, before general and administrative expenses, excluding payment processing fees, selling and marketing expenses and other expenses is an important non-GAAP financial measures, which monitors our performance based on the direct costs of delivering the products and services we saw across our brands. We believe it is useful to measure how we are controlling no direct variable cost and how effectively we've retain our providers, patients and customers, subscribers. Platform contribution in the third quarter totaled $17.5 million, compared to $8.1 million in the same year ago quarter, an increase of 115%. Now turning to operating expenses. Operating expenses in the third quarter of 2021 was $32.4 million, up from $29.9 million in the same year ago quarter. The increase was predominantly due to increases of discretionary growth, selling and marketing expenses of $9.8 million, other operating expenses of $272,000, customer services expenses of $275,000 and development costs of approximately $13,000. General and administrative expenses decreased $7.7 million during the quarter and included non-cash expenses for stock-based compensation and amortization of $4.8 million. The decrease was primarily due to a $13.3 million decrease in share-based compensation expense. Additionally operating expenses decreased by $1.8 million sequentially versus the prior quarter, driven primarily by increased efficiency realized in selling and marketing spend, resulting in a $2.1 million sequential decrease in that category, and a 1900 basis points sequential improvement in selling and marketing expenses as a percentage of total net revenues. Our GAAP net loss attributable to common stock holders for the second quarter totaled $14.4 million or negative $0.54 per share. This compares to a net loss attributable to common stockholders of $24.2 million or $1.65 per share in the third quarter of 2020. Adjusted EPS is a non-GAAP measure that excludes 3.1 million and non-cash stock based compensation expense 118K of non-cash depreciation and amortization expense 187,000 of non-recurring financing transaction expenses and 1.6 million of non-cash debt discounts amortization. This figure totaled a loss of $0.36 per share for the third quarter as compared to a loss of $0.52 in the same year ago period. Additionally, adjusted EPS improved 25% sequentially versus the prior quarter. Adjusted EBITDA and non-GAAP financial measure, which factors are non-cash stock-based compensation, depreciation and amortization, financing transaction expenses, litigation costs, interest expenses totaled the loss of 9 million in the third quarter of 2021, as compared to a loss of 3.8 million in the same year ago period. Adjusted EBITDA improved 24% sequentially versus the prior quarter. Now turning to our balance sheet. Cash totaled 9.4 million as of September 30, 2021. As discussed earlier, on October 2021, we completed a preferred equity offering, supplemented with a complimentary common equity offering raising approximately 55 million in net proceeds, which we believe will sufficiently capitalized us to reach our stated goal of achieving the adjusted EBITDA breakeven by the fourth quarter of 2022. This wraps up our financial results. I'd now like to turn the call back over to Justin.
Justin Schreiber: Overall, we had a tremendous third quarter of 2021, both operationally with record revenues and fundamentally with the launch of our virtual care platform and minimally dilutive financing. Something else I'd like to point out. We've also a big focus of the Company this year has been institutionalized our shareholder base. And our company is now as of today, 40% of the float is institutionally held. And I believe that number by the end of this quarter, could be closer to 50%, given the number of institutions that participate in our labs financing. So, I think that's an awesome metric. And I think it speaks to the quality of the business, that we can attract the caliber of institutions that now make up 40% to 50% of our float. And that's something that we're going to continue to focus on as a company. I remain extremely confident that we'll be able to continue growing aggressively, while achieving our goal of adjusted EBITDA of breakeven by the fourth quarter of 2022. Before I open the call for Q&A, I want to leave everybody with the following. We now have an outstanding world-class virtual care technology platform powered by our premier doctor network, and the best direct-to-consumer marketing team in the industry. When you reflect on all of this, it seems clear we are well positioned to benefit from the changes sweeping for the U.S. healthcare system. Everybody knows our health care system is broken. Change is inevitable. With our proprietary technology and our network of physicians who truly care about their patients, we stand poised to disrupt health care for the better. We are combining diagnostics, prescription medications, medical records, and eventually wearables to deliver totally integrated health care. We're building something that has the potential to become the biggest medical practice in America. We can honestly and surely say what patients want to hear. The doctor will see you now, not four days from now or three weeks from now, but now, that's healthcare where and when you need it. But what's most exciting is the thought of the millions, if not 10s of millions of Americans will be happier and healthier because of LifeMD. To me, that's the most thrilling thing about my job. Going forward, we will have to wage a battle for the mindshare of our customers. Till now, we focused on lifestyle concerns such as ED, hair loss, the skincare, which are all great businesses with strong unit economics. They should be seen as a case study for what we can do in direct-to-consumer health care. We've already crushed it in an incredibly competitive market, with much less capital than our competitors, but LifeMD is changing. Now we have a platform that allows us to go after the entire U.S. healthcare system. And we're just getting started. It's been a very busy fall and there's more exciting news on the way. We've been working on some significant new partnerships in the pharma and technology sectors. We plan to hold an Investor Day in the new year to showcase our technology platform, introduced the leaders of our physician team, and of our partner companies, and much, much more. So stay tuned, we're just getting started and 2022 is looking to be our greatest year yet. We recently posted our shareholder letter in the investor relations section of lifemd.com. So please give it a read. We're also going to send it out this evening via Twitter. With a big final thing for our providers, our patients, our team and our shareholders for support. I would like to open the call for Q&A. Operator?
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of David Larsen with BTIG. Please proceed with your question.
David Larsen: Hey, Justin and Marc and team, congratulations on your success so far. Just a couple of quick ones for me. Can you talk about, maybe revenue growth revenue team and a little bit lighter than what we were modeling. The growth rate in telehealth orders was up 153% year-over-year. That compares to the year-over-year growth and product revenue, which I think was around 96%. So the number of orders are up but the product revenue isn't up as high in terms of the growth rate. And then, it looks like the revenue per order was good. I mean, it was flat sequentially to down 20% year-over-year. Just any color there and what's going on with revenue per order? And why the growth rate in product revenue isn't as high as the growth rate in actual orders?
Marc Benathen: Yes, it's Marc. There are the primary reasons that I was if you look at Q2 last year, there were some -- the business was far less subscription based and there were some outside average order guys, it took place in that particular quarter as we've transitioned to having a business that we believe is much stronger on a long-term basis as more of a retention and a subscription driven versus having about half of the business description driven. Some of the AOVs will be lower than what they were about a year ago, still very competitive for the industry and still ahead of many of our competitors on a subscription basis. But that's the main reason why you see that delta between the growth and the number of orders and the growth in revenue. With that being said, we believe that's the growth that we have this particular year while may differ a little from the BTIG model, was very much in line with our expectations for the quarter, 17% sequential revenue growth, and obviously about 100% year on year growth and has also been very consistent with sequential growth we have been seeing in prior quarters.
David Larsen: Okay. And then with the slight decline in AOV, is part of that being driven by, the derm product Nava. How is that progressing and is part of that being driven by the primary care solution? How is that progressing?
Marc Benathen: Yes. So, none of primary care solution we just actually been launched a couple of days ago, a little bit as a trial offer in Nava. And then a little bit of it as the fact that rather than go and try to scoop up an initial sale where, if you look at the year ago in Q2, our Shapiro hair loss brand had multiple OTC products bundled for a fairly high AOV that also didn't drive a lot of retention. So from a long-term perspective, it wasn't necessarily as strong of a model. The current model obviously has bundling products, but driving it as an AOV that is much more competitive on a long-term basis. And it's really a lot of it has to do with the subscription model versus a more of a one-off transaction at a much, much higher AOV.
David Larsen: Okay. And then, when you say subscription model, can you just remind me what that means? Does that mean you basically buy…
Marc Benathen: So, what it means is, you will sign up LifeMD, you'll put down your payment information and you'll get either a 1, 2, 3, 4 months, we've started to move into six months subscriptions. Again, that quantity of supply and you'll get build on that frequency, as your supplies run out. So, if you're on a three month subscription, you're billed once every three months from us, you've got a three month supply. If you're on a one month subscription, you'll get billed every single month and you get a one month supply. That's a subscription model. The one-off transaction model would be, we bundle everything together. We sell it to you and you don't get orders billed for additional orders in the future. It becomes a one-off transaction, and then you have to go and take the steps to buy again. Subscriptions obviously drive substantially more of attention. And frankly, it's a lot easier for a lot of our patients as well to manage, which is why most people have made the election to move on to that particular model. And that's one of the reasons why from an LTV standpoint, you're going to do better in the subscription model. If you look at it a little bit of 12 months and then we're getting, LTVs now of 350 to 400, when we were not on that subscription model in Q2 of last year, those one-year LTVs will closer to 250 to 300 albeit you would crown everything into a shorter time period.
David Larsen: Okay. I don't want to hug all the Q&A time here. I'm sure there's other folks that have questions. But can you maybe just talk a little bit about the sales and marketing spend per order? That is a metric that I think actually looks pretty good. Congratulations on the EBITDA improvement. Can you just talk about the source of the 22% sequential improvement in sales and marketing per order spend? Is it -- and also like I've heard from other areas like that the online advertising costs, it's not a slight increase that has occurred over the past six months. In some cases, it's been like a tenfold increase. So, just any color on what drove the improvement in sales and marketing spend would be very helpful.
Marc Benathen: Yes, twofold. One, we've continued to work optimize our media, I mean, I'm not going to get into the specifics by channel, because that's somewhat of a trade secret for us. But we're in very laser focused on that, really digging into the data and making sure that we optimize across online and offline media. And we saw that we'll have in the last couple of quarters, as well, we continued that trend. The second piece is retention. At the end of the day, we continued, particularly in the prescription side of the business continued to have strong retention, which has enabled us to be able to drive more and more revenue associated with 3 billion of existing patients, so they don't actually have to go out and pay money in marketing to acquire those people. And in fact, if you look at the sequential growth of our revenue that comes from rebillings of existing patients, every quarter, that number tends to be very much in line for sometimes a little bit better than what our sequential revenue growth is overall for the Company. So, it's really -- it's the optimization of those fans really sort of tightening down on the data behind it. And then the second piece is obviously retention, which that's going to serve the business for a very long time.
David Larsen: Okay. And then just without getting ahead of ourselves, can you just talk about your expectations for EBITDA as we progress into 2022? Just any sort of high level color, like since you just launched the primary care platform, would you expect EBITDA margin pressure in 4Q? Is that going to be an earnings headwind? And then, just any thoughts on how sustainable 130% year-over-year revenue growth rate is? Thanks.
Marc Benathen: Yes. So from an EBITDA standpoint, we continue to expect even with some of those launches, that will have some mild improvement heading into the fourth quarter and EBITDA versus the third quarter, I don't think it'll be substantial, but models improvement. Heading into next year, we're still very much on track to achieve our stated goal of getting to EBITDA breakeven to slight profitability by the fourth quarter of next year. And we expect to see sequential improvement throughout the year next year. I would say that sequential improvement is probably going to be most pronounced between the second quarter or fourth quarter of next year versus the first quarter. But we do expect to continue to see that. From the top-line growth standpoint, we're in the process of finalizing our budgeting and planning for next year, as we speak, but we still continue to remain very optimistic about growth in the business. Do I expect to see consistent triple-digit growth year-on-year? I'm not 100% sure, I think from an estimate standpoint, I think it's probably safer to assume as has been the same today, so there is going to be substantial double-digit top-line growth.
Operator: [Operator Instructions] Our next question comes from the line of Marc Wiesenberger with B. Riley Securities. Please proceed with your question.
Marc Wiesenberger: Good afternoon, and congrats on a very good quarter and the progress on the primary care offerings. I'm wondering, if you could start off by updating us on the percentage of telehealth orders that are currently under multi-month subscriptions and your expectations for that going forward?
Marc Benathen: Yes. So, we're approximately 50% of our telehealth order for our multi-month subscriptions. Our expectation is that number rolls slowly in chop over the next 12 months though I think it's going to get to 70% 80% now. But though I think we got to somewhere between 50% and 60%. Yes, we believe that we have the greater percentage at least from what I've seen publicly multi-month versus smaller players in the industry. That's kind of where we are right now.
Marc Wiesenberger: Great. And are you seeing any changes in patient behavior or ordering patterns across cohorts as the duration on the platform extends?
Marc Benathen: No, not really. At the end of the day, even as the restrictions are eased and somewhat transitioning for post-COVID world, we really haven't seen any changes in ordering patterns. What I do think, can happen and [indiscernible] we're not going to know this until we probably get close to the mid 2020. With the launch of virtual primary caregivers is the potential that we have the ability to drive even greater economic retention and potentially some additional cross-sell opportunities and some changes in ordering behavior, as that platform continues to gain traction. But like I said, it's too early for us to be able to tell about the story.
Marc Wiesenberger: Sure, understood. And I think you alluded to it a little bit before. But if you could talk about the advertising environment across your different channels, that'd be helpful. And then there was some discussion with kind of the Apple iOS update and associated privacy kind of changes there. I was wondering, if you were impacted at all, and your ability to target new patients?
Justin Schreiber: Yes, look. Hi, Marc this is Justin. We're continuing -- as a company, we're continuing to diversify kind of our advertising mix, which is really helping us out on the acquisition side. We're seeing some -- we have at least three to five new channels that have really started -- we've started to see significant traction on in the last quarter. And we actually believe that those channels and others are more scalable. So, that's a very positive thing for the business and kind of goes through what we've always said about. There's just these are massive markets, and just, there's still enormous opportunity, and we think there will be for a long time. Everybody that's in that kind of B2C world is going to be impacted by these changes to kind of tracking users right across devices. And I actually believe that it's, I actually believe that LifeMD and our expertise is, I think we're in a better position than anybody to respond to this, and actually, in a way, benefit from us. I mean, I've been really clear, even in this call with, look, aside from providing amazing health care, which is obviously our first priority, we're awesome at marketing and acquisition. And we've got a lot of tools in our toolbox I don't think other companies have. And that's what's going to lead to growth drive the growth. So as you take away maybe some of those calls low hanging fruit, that we've all benefited from through being able to kind of track and better target customers, where, if you want to buy -- if you're going to bet on someone who's going to benefit from these changes, in my opinion, that's LifeMD. So I don't know that's helpful, but that's our perspective. We actually think this could be a positive for our business.
Marc Wiesenberger: Got it, very helpful. And then I'd like to hear about, how the expansion of the customer support center has gone? And maybe how that's improved conversion and up-sells?
Justin Schreiber: Sure. I mean, look, we've continued -- this is obviously like a big really important part of our business. We have an awesome team in South Carolina that runs our call center. Our patients love it. I would prefer not to give like specific numbers, but I'll just say that, that business and that operation continues to shine. It could easily double over the next 6 to 12 months in size. And it is certainly very helpful right on the acquisition side. And also, obviously it's providing -- there's a big part of that operation that's patient and customer focused, and really proud of like wait times and response times and all that stuff, including we now have a significant MA operation, medical assistant operation that we started to build in Greenville, along with credentialing and also looking at nurses. All of these things that are going to be supportive of our 50 states primary care business. So, it's a really great asset that we love to show off to investors. We always bring people down here and great part of the business.
Marc Wiesenberger: Great. And two more from me and turning to the primary care offering. And you've talked a lot about how important longitudinal care is. I'm wondering, if you talk about really the technology infrastructure that you built that will help to facilitate that? And maybe even more broadly help patients who then have more complex conditions be able to really get the care that they need, through LifeMD and then partners as well?
Justin Schreiber: Sure. So on the technology side, we've been working on this build for, I don't know the exact, probably at least a year, it's our first native mobile application, also there is a desktop version as well. We've already integrated labs and kind of real time labs. We've also working on finalizing before the end of the year or that kind of in-home collection component of labs. So, that's all integrated. It also combines the prescription like intelligence piece. So, all of the, someone needs prescription filled-in or refilled to a local pharmacy or through one of our regional pharmacies whether that be a traditional pharmacy or compounding pharmacy, all of that is integrated. Patients importantly get or are going to be able to get really significant discounts on all of those prescriptions as in addition to diagnostics. I'd like to point that out that. The price points on common diagnostics that we will be able to offer through LifeMD are just unheard of, right. People probably won't believe them. We've integrated with Particle Health for most people's medical records will also be pulled immediately into the platform. We are looking at integrating and potentially partnering with one of the biggest manufacturers in the world in the wearable space. So, that's something that I think is very, very exciting and could be done very quickly, where now we're actually not only giving you this great doctor that, all of a sudden really cares about you, have time for you, get back to you, takes the time to explain your blood work. But also like now can even see your respiratory rate, your blood oxygen level, your maybe even, all of these very important metrics, which really has never been done. So, the technology is complex, it's going to be involved, it's something that's always going to be evolving, and we're going to continue to make a significant investment. So -- as far as, and by the way, Marc, we're going to -- that's one of the reasons why we're doing this Industry Day. I pushed into January intentionally because I want all these features to be live. And everybody's got to play with all this stuff. But we're going to spend half a day to a day and like, literally go through all the technology, all the capabilities, bring in, like put our different clinical directors, our Chief Medical Officer. Let them talk about, like, how they built this out. It's going to be a great day, right? Also, I want to pull in the CEOs of like some of these technology companies we partner with and let our investors hear from them. Like why they think LifeMD is one of their most important partnerships. So that'll be something to look forward to, for everybody. On the complex side, they're going to be limited -- when you mentioned, your second part of your questions was about treating complex conditions. I mean, we're going to have to obviously have some restrictions. I mean, we're not going to be able to do everything. Obviously, we can't do everything virtually. Some pretty prominent academic medical centers have kind of done a lot of work on this recently. And the number is probably somewhere in the 60%, 70%, range of what platform like ours can treat virtually, obviously, it's 100%, for a lot of people that are healthy. But we are going to, again, this will greatly expand like the number of conditions that we can treat. But there are going to be some limitations, obviously, sort of things to manage by specialists. And that's something that will be very clear to patients when they are on board in the platform. But look, most urgent conditions, we have a great team of ER doc supporting, like the 50 state launch, our Chief Medical Officers, former ER doctor. So has a lot of experience with urgent care, certainly chronic conditions that are prevalent, almost all of those, we're going to be able to treat. And then a lot of wellness, right, like a big part of this is. Like our Chief Medical Officer and a lot of the team of founding physicians, we've attracted to the platform, like are trained in like integrative medicine. Tony went to -- Tony is a graduate of the Andrew Weil Institute in Arizona, which is kind of the world's leading Integrative Health Center. And so, that's something else I'm really excited about. I think there's a big opportunity for on the wellness and like health optimization side as well, for this platform. So, the opportunities are endless, we need to kind of, we're going to figure out kind of where to focus this thing. And, of course, focusing is on existing patients. We have this very big medical group right now, where we have a large number of new patients coming in every day, we have hundreds of thousands of prior customers and patients and there's an opportunity there to kind of build up fairly, to build a big business around this, quickly just from that existing population.
Marc Wiesenberger: Sure, that’s very helpful, a lot of good color there. And just the final one, can you talk about the experiences thus far onboarding doctors kind of how we should expect that to ramp over the coming quarters? And then also kind of resource allocation between the established telehealth brands and the new primary care offering going forward? Thank you.
Justin Schreiber: Yes, so we've been able to leverage a lot of our existing -- we've brought on a few full time medical professionals and doctors that have 50 state licensed to help support the launch and build out a lot of the protocols for our new primary care offering. We also have a lot of other doctors that we got, we're very fortunate to find, just through our network that are kind of have agreed to, basically commit 30 hours a week to this. And we have the capabilities right now to service like a very large patient population. And we've always -- we done, many of these doctors are also treating patients in our condition specific businesses. So, they're already very happy with the relationship they have with LifeMD, and they're kind of, they've committed to a certain number of hours and schedules to support the launch of this business, but the primary care business, in addition to that other those other consults they're doing with us. Moving forward, the plan is to hire full time positions and they'll be affiliated providers that work for our medical group. And probably, it's great for the doctors. They really enjoy these kind of virtual practices. We can pay them extremely well, just as good or even better than they're making it and they're doing in a brick and mortar setting. And so, as the business skills were will continue to onboard doctors, but it's an attractive setup where we don't really have to take, because of the existing infrastructure that we have with our other telehealth businesses, like, we didn't have to go out and hire even 10 or 20 right doctors that are 50 state licensed or 30 to 50 state license and $300,000 a year, right. We've kind of managed to get this thing launched with our existing infrastructure and small investments and medical personnel. And then, we'll just full scale the medical personnel, as the business grows. We have a number of doctors that are awesome doctors that are kind of there, and they're ready to leave traditional practices and work for LifeMD full time and they're very excited about it. I think you mentioned like resources, other businesses versus LifeMD will get some -- we know it's probably one of those common criticisms of the Company is trying to do too much. You know, I think, look, I'm very confident that we can execute on both of these businesses. We've greatly expanded the team and our infrastructure over the last 12 months. Our lifestyle in dermatology businesses are very complementary for LifeMD, as I pointed out, they're essentially like lead gen for this kind of longer term broader primary care model. And I don't see an issue executing on both.
Operator: And we have reached the end of the question-and-answer session. I'll now turn the call over to Justin Schreiber for close remarks.
Justin Schreiber: Thank you, operator. Thanks everybody for taking the time to listen to our call. We really appreciate everyone's support. And please reach out to Marc or I, if any of you have any specific questions for us, we always do our best to respond to anybody that reach us through our investor relations email address. So, thanks. Really appreciate your support. And we are really excited about the future of LifeMD. Have a great evening.
Operator: And this concludes today's conference and you may disconnect your line at this time. Thank you for your participation.